Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:03 Good afternoon, ladies and gentlemen, and welcome to the DMC Global Third Quarter Earnings Call. At this time, all participants are in a listen-only mode, and the floor will be opened for your questions and comments following the presentation. 00:16 It is now my pleasure to turn the floor over to your host, Geoff High, VP of Investor Relations. Sir, the floor is yours.
Geoff High: 00:25 Hello, and welcome to DMC’s third quarter conference call. Presenting today are President and CEO, Kevin Longe; and CFO, Mike Kuta. 00:34 I would like to remind everyone that matters discussed during this call may include forward-looking statements that are based on our estimates, projections and assumptions as of today's date and are subject to risks and uncertainties that are disclosed in our filings with the SEC. Our business is subject to certain risks that could cause actual results to differ materially from those anticipated in our forward-looking statements. DMC assumes no obligation to update forward-looking statements that become untrue because of subsequent events. 01:03 A webcast replay of today's call will be available at dmcglobal.com after the call. In addition, a telephone replay will be available approximately two hours after the call. Details for listening to the replay are available in today's news release. 01:18 And with that, I will now turn the call over to Kevin Longe. Kevin?
Kevin Longe: 01:22 Thank you Geoff, and good afternoon, everyone. Activity in DMC’s primary end markets continued to improve during the third quarter. However, the recovery was accompanied by various short term challenges that negatively affected our operational and financial performance. 01:42 Supply chain bottlenecks and travel restrictions impacted international sales at DynaEnergetics, our energy products business, while delayed deliveries of metal plates slowed manufacturing activity at NobelClad, our composite metals business. These factors led to consolidated third quarter sales that were four percent or two point eight million dollars below the low end of our forecasted range. 02:10 An important development during the quarter was the improved demand DynaEnergetics experience in its U.S. onshore oil and gas market. Third quarter unit sales of DynaEnergetics fully integrated factory assembled DS Perforating System increased nineteen percent versus the second quarter. This was well above the increase in unconventional well completions, which were up six percent sequentially according to the U.S. Energy Information Administration. 02:45 As unconventional completion activity accelerates, the superior safety, efficiency and reliability of our DS Systems becomes increasingly important to our customers. This is especially true in a tight labor market. Since DS systems are delivered just in time to the well site, our customers can streamline the supply chain, eliminate assembly operations and reduce the number of people on location. 03:14 While well completion activity improved during the quarter, pricing pressure remained a significant challenge. Rising labor and raw material costs have only intensified the pressure on margins. 03:28 Crude prices have increased approximately seventy five percent since the start of the year and has significantly improved the health of the exploration and production industry. Operators are now increasing their capital spending budgets in anticipation of the coming year, and we believe this should help improve the health and profitability of the industry that supports these E&P companies. 03:53 On Tuesday, DynaEnergetics announced a five percent global price increase that will take effect in November twenty two. The increase is intended to offset higher labor and input costs as well as the anticipated wind-down of the CARES Act. 04:11 DynaEnergetics substantial investments in new technologies have resulted in a robust product portfolio that has improved the safety, efficiency and effectiveness of our customers operations and has led to increased productivity, profitability and job creation in our industry. 04:31 The significance of these investments is reflected in the approximately eighty patents we've been granted in the more than four hundred patent applications we have filed. Our patented strategy is designed to protect our investments and provide transparency, so others can innovate without violating our intellectual property. Despite this, a number of competitors are selling products that we believe infringe on DynaEnergetics patents. 05:00 During the third quarter, we intensified our legal action against several of these companies, spending two point three million dollars on patent litigation. We intend to continue these expenditures until the issues are resolved. Our commitment of resources to this process reflects our belief that intellectual property is now protected, we incentive to innovative loss and the sustainability of the industry is threatened, 05:30 The outlook in DynaEnergetics international markets is improving. DynaEnergetics recently entered into a global supply agreement with a large international service company and also is awarded two middle-eastern projects that will be shipped over the next few quarters. Based on current activity, all indications are that twenty twenty two will be a strong year for DynaEnergetics international business. 05:59 At NobelClad, interest continues to grow for the new identified product offering, and we anticipate initial orders by early next year. In addition, pricing continues to strengthen for various cladding metals and NobelClad has improved its commercial organization and strengthened its sales team and market specialists. 06:21 We are encouraged by the strengthening economy and improving demand in our key markets. We have maintained a strong financial position and operate two highly innovative businesses that continue to lead their industries. 06:36 With that, I'll turn the call over to Mike for a review of our third quarter financial results and a look at fourth quarter guidance. Mike?
Mike Kuta: 06:46 Thanks, Kevin. Third quarter sales were sixty seven point two million dollars, up three percent sequentially and up twenty two percent versus last year's third quarter. 06:56 DynaEnergetics reported third quarter sales of forty four point two million dollars, up five percent sequentially and twenty nine percent versus the same quarter last year. North America sales increased fourteen percent sequentially, while international sales decreased thirty eight percent sequentially. 07:15 Sales at NobelClad were twenty point nine million dollars, down one percent sequentially and up nine percent versus last year's third quarter. 07:24 Consolidated gross margin in the third quarter was twenty five percent, down from twenty six percent in the second quarter of twenty twenty one and flat compared to last year's third quarter. Third quarter gross margin benefited from improved project mix at NobelClad, which was offset by a decline in international sales, and higher material cost at DynaEnergetics. 07:45 DynaEnergetics reported third quarter gross margin of twenty two percent versus twenty five percent in the twenty twenty one second quarter and twenty four percent in last year's third quarter. 07:58 Gross margin in all twenty twenty one quarters includes the effects of employee retention credits related to the CARES Act, while last year's third quarter benefited from higher margin international sales that were approximately four point six million dollars greater than this year's third quarter. 08:14 NobelClad reported third quarter gross margin of thirty percent versus twenty eight percent in the second quarter and twenty six percent in the year ago third quarter primarily due to improved project mix. The CARES Act credits also contributed to higher gross margin versus last year. 08:31 Looking at our third quarter expenses, consolidated SG&A of fifteen point three million dollars increased nine percent versus the second quarter, and thirty two percent versus the year ago third quarter. The sequential increase primarily relates to step-up in patent litigation expense at DynaEnergetics. 08:50 We reported a consolidated operating income of one point one million dollars. Third quarter net income was four hundred and three thousand dollars or zero point zero two dollars per diluted share versus adjusted net income of one point two million dollars or zero point zero eight dollars per diluted share in last year's third quarter. 09:06 Adjusted EBITDA was five point eight million dollars versus six million dollars in last year's third quarter. DynaEnergetics reported third quarter adjusted EBITDA of three point six million dollars, while NobelClad reported adjusted EBITDA of four point six million dollars. 09:22 We ended the third quarter with cash and marketable securities of one hundred and eighty two million dollars after raising one hundred and twenty three point five million dollars in the equity offering in May. Our total outstanding share count is now eighteen point seven million. 09:36 Looking at guidance, fourth quarter sales are expected to be in a range of sixty eight million dollars to seventy four million dollars versus the sixty seven point two million dollars reported in the twenty twenty one third quarter. 09:47 At the business level, DynaEnergetics is expected to report fourth quarter sales in a range of forty six million dollars to fifty million dollars versus the forty four point two million dollars reported in the third quarter. We anticipate that international sales will bounce back in the fourth quarter. NobelClad sales were expected in a range of twenty two million dollars to twenty four million dollars versus the twenty two point nine million dollars reported in the twenty twenty one third quarter. 10:14 NobelClad’s fourth quarter sales forecast includes eight point eight million dollars related to a previously announced order from the Chemical industry. Receipt of the raw materials required to produce the order have been delayed due to supply chain bottlenecks. While NobelClad still expects to receive the materials, and ship the order during the fourth quarter, there remains a risk of some or all of the shipment will occur after year end. 10:39 Consolidated gross margin is expected in range of twenty three percent to twenty four percent versus twenty five percent in the third quarter. Fourth quarter selling, general and administrative expense is expected to be approximately fifteen million dollars to sixteen million dollars versus the fifteen point three million dollars reported last quarter. 10:58 Amortization expense is expected to be approximately two hundred thousand dollars Adjusted EBITDA is expected in a range of five million dollars to six million dollars versus the five point eight million dollars in the third quarter of twenty twenty one. The fourth quarter adjusted EBITDA forecast includes litigation expense of two million dollars assumes the previously enacted CARES Act, legislation remains in effect through year end. 11:21 Fourth quarter capital expenditures are expected in range two million dollars to four million dollars. DMC’s full year tax rate is expected in a range of thirty one percent to thirty three percent. 11:30 With that, we're ready to take any questions. Operator?
Operator: 11:36 Ladies and gentlemen, the floor is now open for questions. [Operator Instructions] Your first question is coming from Tommy Moll. Your line is live.
Tommy Moll: 12:02 Good afternoon and thanks for taking my questions.
Kevin Longe: 12:04 Yes. Good afternoon, Tommy.
Tommy Moll: 12:07 Kevin, I wanted to start on the price increase you recently announced for DynaEnergetics. Specifically, if you could give us an update on the industry and competitive environment there? What give you the confidence to go ahead and move forward again with implementing the increase? 12:24 And then in terms of the timing, I noted, it looks like it's set to become effective late November, so not a whole lot of volumes there in the rest of the year. Should we think of this strategically as a message for the customer base to really start thinking toward their twenty twenty two outlooks, because just given that's right around when there will be a big budget planning season for next year on presumably a much higher crude deck than currently in place?
Kevin Longe: 12:54 Yes. Tommy, I think you've read that well. It is messaging. Prices need to go up in our industry. The price increase that we announced in the first quarter to take effect in the second quarter. Actually, we did not get support from the industry on that price increase. And so, we ended up rolling that back, which impacted our -- initially impacted our volume in the second – in the beginning of the third quarter. We rolled it back and you can see what happened to our North American land based business in the third quarter. 13:39 And so, the price increase is surely needed, prices are down significantly from where they were previously and where it is healthy for our industry. We are seeing labor and material cost increases, supply chain cost increases. And there's a CARES Act that -- and for some companies will fall off in the beginning of the year. And so, this will be the first of what will probably be two or three price increases over the next twelve to eighteen months.
Tommy Moll: 14:19 That's helpful, Kevin. Thank you. Also is was hoping we could get an update on your M&A pipeline. Any anyway you could characterize it for us in terms of number of deals you’ve looked at, potential timing, any update on priority end markets, anything you could offer would be helpful?
Kevin Longe: 14:39 I think the only thing that we can say there, Tommy, is that, we’re active and we've looked at some interesting things. It's less quantity than it is quality and strategic with our company. And -- but we don't have anything that we can talk about at this time.
Tommy Moll: 15:01 Fair enough. And if I could slip one more in. This is probably for Mike. Mike, just looking at your full year guidance on the tax rate, if I'm doing my math correctly, I've got to assume a pretty high rate in Q4. And I just want to understand maybe I've missed something there, if there's something squarely about the fourth quarter that you could clarify just as it will impact everyone's EPS assumption for the next quarter?
Mike Kuta: 15:29 Yes. Tommy, our tax rate is back end loaded because we have discrete items in the first half of the year that drive the rates down. So therefore getting back to a thirty one to thirty three percent rate requires a higher backend raise. So you're reading that right.
Tommy Moll: 15:51 That's very helpful. Thanks for the time and I'll turn it back.
Kevin Longe: 15:56 Thank you, Tom.
Operator: 15:59 Your next question is coming from Stephen Gengaro. Your line is live.
Stephen Gengaro: 16:05 Thanks. Good afternoon everybody.
Kevin Longe: 16:09 Good afternoon, Stephen.
Stephen Gengaro: 16:11 So a couple of things, and wanted to just follow-up on Tommy first question. With the price increase you announced earlier this week or the push to get it through November, are you seeing a change in behavior from your peers yet? Like, what's -- is it higher activity expectations? What's given you the confidence that; A, you can get this through; and then B, your subsequent comment, you expect couple more in the next twelve months.
Kevin Longe: 16:43 We have seen or hearing both through earnings calls and some activities in the marketplace of a couple of our major competitors who also feel that they need to increase prices to return margins where they should be. So, I think that we're going to see generally more support from a market standpoint. And the ultimate end use markets for our E&P customers are strong. 17:18 I think the lack of being able to push through a price increase to date has more been driven by our customer market, the wireline service companies has been oversupplied and relatively fragmented. There's been a lot of competition among our customers on price. And so, we've seen a lot of buying on price from the general market and there's a number of service companies who have not fully adopted are just in time delivered to the well site model where they maintained the vertical integration in building perforating guns. And so the industry is kind of, I guess, reverted to kind of a component industry and a low priced market. 18:17 We haven't seen as much system sales from the major companies and we've seen a lot of smaller machine shops that are making partially assembled carriers and carrying the litigation risk, if you will by violating our IP, be a larger part of the market. And we think that part of the market is going to be challenged not just by our legal actions, but also by their own lack of profitability and rising material costs. And so, we feel we're in a pretty good position, it has taken longer for some of the attrition and consolidation that we think is necessary in our market to take place. 19:12 But at the end of the day, our systems are lower in cost for our service company customers, even though the initial price may be higher, we do get a premium over other systems, but we are supporting our customers right now who are competing against other wire line service companies that are with a more commodity like component mentality at this time.
Stephen Gengaro: 19:45 Okay. And then as we -- that's helpful. And as we think about -- I mean, in the 4Q guide, I mean, you mentioned -- I think Mike mentioned international recovering a bit, which kind of sounds like -- that means in U.S. Dyna is pretty flat. And that's a little surprising given, which probably activity growth of what we're seeing as far as -- is that year end seasonality concerns or is there something else in there that I should be thinking about.
Kevin Longe: 20:15 There's a little bit of seasonality in North America, but we're actually -- the underlying volume of operating systems that we're making a pretty healthy. What we need to see is the price increase starting to take hold. And we also expect the number of completions to accelerate going into twenty twenty two. There's somewhat been a slowdown in completions with the docs that are drilled, but not completed inventory declining dramatically over the last couple of quarters. 21:01 And CapEx moving more towards drilling. And -- but that just bodes well for completions in the new year. And so we're very excited about the hand that we have going into the New Year.
Mike Kuta: 21:17 And Stephen, just quickly, this is Mike, on the international front. I mean, we see that in the six to six point five range in the fourth quarter up of four six in Q3. So, I still show North America growing at the bottom end of kind of what we're thinking North America is going to do for DynaEnergetics, so we still think that's going to be the bottom end flat to slightly up with some upside to that.
Stephen Gengaro: 21:47 Okay. Okay. That's helpful. And then just one more for me. When you think about – when you think about your history and then you sort of look at looking ahead twenty twenty two. I believe and I got to check the numbers exactly, bur your incremental margins your incremental operating margins on the Dyna -- I guess on both businesses really, but I'm thinking Dyna separately, they've been really healthy, right? They've been kind of -- I think you've sort of referenced like a forty percent mark where things are normalized, Should we expect that type of incremental next year as we go through given pricing expectations off of weak pricing plus activity growth or I missed something?
Kevin Longe: 22:41 Yes, I think -- so you'll definitely see the incremental margin improving as the year goes. We're walking into -- walking through our price increases, taking those throughout the year. And at the same time that the volumes is picking up, I will say two, we require significantly fewer people at the well site and in our service company, customers, operations, and in a tight labor market that volume is picking up, if plays into our integrated system delivered to the well site, we should see an improvement in share and an improvement in margin as we get the price increases implemented. 23:40 So we should see that unfolding as the year continues. We probably won't get to that forty percent by the end of the year, but we should be fairly strong, Mike, do you want to –
Mike Kuta: 23:54 Yes. I mean, and just as a reminder, NobelClad is usually in that forty percent to forty five percent range. And historically, on the contribution margin level. And DynaEnergetics has also been in that forty percent, forty five percent range. And so, I think as we enter twenty twenty two as we get price increases, we're going to be in the low thirties on that contribution margin as we get a couple of price increases across. I think we're going to start to approach that forty percent contribution level as we've exit and get in the back half of twenty twenty two and exit twenty twenty two.
Stephen Gengaro: 24:32 Okay. Great. That's helpful. I'll get back in line. Thank you.
Operator: 24:46 [Operator Instructions] Your next question is coming from Taylor Richard. Your line is live.
Taylor Zurcher: 24:52 Hey, Kevin and Mike. Thanks for taking my question. My first one's is on Dyna. Just hopefully you guys could -- just give us a bit more color on the walk down in margins, at least at the adjusted EBITDA line at Dyna, Q3 versus Q2. You talked about some of the issues going on internationally and there was less favorable mix, which is pretty clear. 25:15 But in total, I suspect that the volumes were up. They certainly were in North America, sequentially. So, could you maybe talk to what the margin differential is between international and North America and weather the margins in North America might have actually take lower sequentially, if some of these inflationary items kind of ramped up more dramatically than you might have thought previously?
Kevin Longe: 25:45 Yes. So – Hi, Taylor, I think that when you look at, twenty five percent gross margin in June quarter, versus September quarter, twenty two percent. The largest driver there was really the lower international mix, which does carry higher margins than what we have here in U.S. We also at the supply chain issues. We had some raw material inflation driving that as well, but the largest factor was a mix driving us from twenty five percent to twenty two percent.
Taylor Zurcher: 26:21 Okay. And as we think about a five percent price increase for November and beyond, I mean does that just keep margins flat on a unit economic basis? Or is there some net momentum embedded in that five percent increase?
Kevin Longe: 26:38 Excluding the CARES Act, there's a fair amount of net momentum in that, Taylor. We're in a fortunate position where we feel that we are managing our supply chain and our operations very well from a cost standpoint. 26:56 And a lot of the inflation that we've seen is already embedded in the margins. And we're happy with our volume picking up. We have one challenge, one challenge only in that's to continue to walk the industry through the merits of switching from a component driven business to a systems business, particularly systems business that is strong in intellectual property and restoring some of the pricing that our customers are supportive of, but they're competing against other service companies who are less price focused and margin focused. And so, we're in a strong position and we also have the capital in place. Not only for the existing demand, but for the demand that we see over the next eighteen to twenty four months.
Taylor Zurcher: 27:59 Okay. And last question for me is on international at Dyna. You talked about -- I think you said a supply agreement with a large international service company and then a few -- couple of awards in the Middle East. As we think about the next twelve or maybe just through twenty twenty two it feels like international has a bunch of at least activity tailwinds working in its favor for twenty twenty two. I was hoping you can maybe just frame some realistic expectations for growth internationally in twenty twenty two? Do you think twenty twenty two will could get back to where you were in twenty twenty from an international sales perspective or is it still a little bit of a longer term story there?
Kevin Longe: 28:39 We actually feel that the twenty twenty two will exceed where we were in twenty twenty internationally. This quarter was a tough quarter internationally, but was -- the projects are the large tenders that we were recently awarded and most importantly, the service agreement that we have with one of the leading customers is international companies is really going to strengthen our international sales and we think exceeded quite a bit.
Taylor Zurcher: 29:19 Got it. Thanks for the answers.
Kevin Longe: 29:22 And in fact, when I say quite a bit, we should be up twenty percent to thirty percent over where we were in twenty twenty.
Taylor Zurcher: 29:30 Makes sense. All right. Thank you.
Operator: 29:34 Your next question is coming from Gerry Sweeney. Your line is live.
Gerry Sweeney: 29:39 Hey, good afternoon guys. Thanks for taking my call.
Kevin Longe: 29:43 Yeah. Good afternoon, Gerry.
Gerry Sweeney: 29:46 I wanted just one real question on covered most of the stuff on DynaEnergetics. This has been picked over, but obviously, some inflationary pressures, metals, etcetera, if we hold them back to NobelClad. I don't know, the last sort of metal cycle, we saw it turned out to be pretty positive. I think part of your customers, either you do the purchasing of metals and pass through the call and there's even a markup on that. Is there an opportunity to see some improvement in NobelClad just from metals pricing if this trend continues?
Kevin Longe: 30:23 Yes. And while we're not in the given guidance for the next year yet, NobelClad is a very – it has a differentiated product in service if you will that -- and they have a very strong history and process for pricing by project and generating a forty three percent on average contribution margin that's based on the costs of the materials that are incorporated into the project at that time. 31:06 When they quota a project, the project is dependent. The price is dependent on the price of metals at time of order, and then we place orders locked into those metals and it's reflected in a constant margin for that business. 31:29 Most of their projects are out several months. And we're starting to see higher metal pricing flowing through the quoting process and at the orders that are being placed, and it goes right into driving the revenues north, if you will. So, we feel that there's good momentum going into the New Year for NobleClad in terms of metals pricing.
Gerry Sweeney: 31:59 So constant margins. So margins are the same, but we'll say gross profit dollars up just because the price -- the size of the project costs are up as well. Right? So –
Kevin Longe: 32:12 Quite a bit. Yes.
Gerry Sweeney: 32:13 Yes, Got it. Okay. That's it for me. I appreciate it. Thank you.
Operator: 32:20 Your next question is coming from Stephen Gengaro. Your line is live.
Stephen Gengaro: 32:27 Thanks. Two other quick ones, Kevin, maybe the first was not so quick actually. But when you think about the Dyna business and you look at kind where you were a few years ago and the product start to gain immense traction in the market, right? And you guys obviously had a huge run both driven by activity, but also kind of an acceleration in the adoption of your technology. And then you see here today, you look out to twenty two or twenty twenty three which look like they're going to be pretty strong years based on E&P spending budgets and where commodity prices are, etcetera. 33:06 What's different? Is there something that's different? Whether it's a competitive landscape? Whether it's the way the customers are taking in your technology? Is anything that's changing? Or is it just a matter of activity growth and then the ability to kind of realize the value you bring to the wellsite?
Kevin Longe: 33:29 One of the things that's changed as we have a handful of these machine shops that are making the partially assembled carriers, which are approximately half the cost of perforating gun or Perforating System and violating -- what we believe is violating our intellectual property and enabling them to assemble components that they buy externally into a perforating system that has some of the features that our system has. 34:14 It's not -- these companies aren't vertically integrated in the energetic primarily. The systems are mismatched components that don't have the same operating safety and performance features as ours. And significantly, they violate our IP and we're actively going after these companies to stop them from using our IP on how they assemble these carriers. And we feel that we've had solid progress in all fronts on the legal side of it. A lot of the stuff that we've been involved with legally has been jurisdictional or procedural jogging around, but it hasn't been substantive and we expect to positively impact our competitive landscape on our intellectual property over the next year that will enable our business to continue the same dynamics that we had in twenty seventeen, twenty eighteen, twenty nineteen, twenty twenty. We've maintained our position in the market. It's just -- unsettled market over the last couple of years, and we expect it to be more normalized going forward.
Stephen Gengaro: 35:48 Great. That's helpful. Thank you. And then just one quicker. The -- I think you referenced nineteen percent sales growth, unit growth in the U.S market in the quarter. When we look at activity growth in twenty twenty two, would you expect your -- I mean obviously, we'll see what happens in price, but would you expect your volume growth to outpace underlying Frac stage growth?
Kevin Longe: 36:19 We would, and we expect to continue to gain share in this marketplace. And so we see unit volumes going up greater than ten percent probably in the ten percent to twenty percent range. And we expect pricing to go up another ten percent in the coming year. But we're not in the point of giving guidance yet for twenty twenty two. But we see share volume and pricing all benefiting DynaEnergetics in the coming year.
Stephen Gengaro: 36:56 Great. Thank you for your help.
Operator: 37:02 Your next question is coming from Tommy Moll. Your line is live.
Tommy Moll: 37:08 Thanks, Kevin. I just wanted to make sure I understood correctly a couple of minutes ago you referenced the contract award for Dyna on the international side should drive some pretty substantial growth internationally next year. I think I heard that correctly. And did I hear you give a range somewhere in the twenty to thirty percent range? And just any other context you could give us around that would help?
Kevin Longe: 37:37 Yes, I think we should see twenty percent to thirty percent with three things. There's two large tenders that business has been successful securing and a contract with a large service company.
Tommy Moll: 37:54 Great. Thank you for that clarification. I appreciate it. I'll turn it back.
Operator: 38:01 There are no further questions from the lines at this time. I would now like to turn the floor back to Kevin Longe for closing remarks.
Kevin Longe: 38:09 Thank you, everyone for joining our call today. While this was a difficult quarter, we believe the fundamentals are improving for our businesses. The recent price increase at DynaEnergetics is an important first step towards improving our margins, and we are encouraged by the strong increase in demand we are seeing for DynaEnergetics product offering in North America. And by the strength that was mentioned earlier on our international business. We also are -- feel quite strong of the pricing dynamics that NobleClad will have for the metals that goes into their products in the coming year, as well as the new applications for DetaPipe. 38:53 We remain very confident in the strength of DMC, and we look forward to speaking with you again when we report our fourth quarter results. Thank you.
Operator: 39:05 Thank you, ladies and gentlemen. This concludes today's event. You may disconnect at this time and have a wonderful day. Thank you for your participation.